Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Eltek Ltd. Fourth Quarter and Full Year 2018 Financial Results Conference Call. All participants are at present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question and answer session. [Operator Instructions] As a reminder, this conference is being recorded April 17, 2019. Before I turn the call over to Mr. Eli Yaffe, Chief Executive Officer, and Alon Mualem, Chief Financial Officer, I would like to remind participants that comments made during this conference call may contain projections or other forward-looking statements regarding future events or the future financial performances of Eltek Limited. These statements are only projections and reflect the current beliefs and expectations of the company. Actual events or results may differ materially. With that said, it is routine for internal projections and expectations to change as quarters progress. All forward-looking statements are based on information available to the company on the date hereof, and the company assumes no obligation to update such statements. Please refer to the documents the company files from time to time with the SEC, specifically the company’s Annual Report on Form 20-F, its periodic reports on Form 6-K, and the Safe Harbor language contained in the company’s press releases. These documents contain and identify important factors that could cause the company’s actual results to differ materially from those contained in its projections or forward-looking statements, which the company urges all investors to consider. Eltek undertakes no obligation to publicly release the revisions to such forward-looking statements that may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. I would now like to hand over the call to Mr. Eli Yaffe. Mr. Yaffe, please go ahead.
Eli Yaffe: Thank you. Good morning, everyone. Thank you for joining us and welcome to Eltek's 2018 fourth quarter and full year earning call. We'll begin by providing you with an overview of our business and a summary of the principal factors that affected our 2018 results, followed by the details of our financial results. After our prepared remarks, we'll be happy to answer any of your questions. By now, everyone should have access to our 2018 fourth quarter and full year press release, which was released earlier today. The release will also available on our website at www.nisteceltek.com. Our revenue in the full year of 2018 increased to $33.9 million from $32.8 million in 2017. Our revenue, in the fourth quarter of 2018, went down to $7.8 million compared to revenue of $9.1 million in the fourth quarter of 2017. As previously announced, we have established a new leadership team to implement our turnaround plan. We have identified the products that were underpriced and implemented efficiency measures in order to reduce our overall cost. During the fourth quarter, this results in initial reduction in sales volume, but we believe that this will improve our on-time delivery performance, increase customer satisfaction, and build additional sales that will return us to profitability. I see significant potential to Eltek in the high-end PCB market with our skilled engineer and experienced management. I'm optimistic that we'll be able to capitalize on our strengths, return the company to profitability and renew our position as a leading high-end PCB manufacturer. I will now turn the call to Alon Mualem. Alon, please go ahead.
Alon Mualem: Thank you, Eli. I would like to turn your attention to the financials for the full year and fourth quarter of 2018. During this call, I will be discussing also our non-GAAP financial results, such as EBITDA. We use EBITDA as a non-GAAP financial performance measurement, so please see our earnings release for definition of EBITDA and the reasons for its use. First, I will go over the highlights of the full year of 2018. As Eli said, revenues for the full year of 2018 went up to $33.9 million compared to revenues of $32.8 million in 2017. Gross profit improved this year and was $2.6 million or 7.7% of revenues in 2018 compared to gross profit of $1.3 million or 4.1% of revenues in 2017. Net loss was $2.6 million or $1.28 per share in 2018 compared to a net loss of $3.8 million or $1.86 per share in 2017. EBITDA was negative, $421,000 in 2018 compared to a negative EBITDA of $1.3 million in 2017. Net cash used in operating activities amounted to $813,000 in 2018 compared to $3.4 million used in operating activities in 2017. As of December 31, 2018, we had cash and cash equivalents of $992,000 compared to $887,000 as of the end of 2017. Now, I will go over the highlights for the fourth quarter of 2018 compared to the fourth quarter of 2017. Revenues for the fourth quarter of 2018 were $7.8 million compared to revenues of $9.1 million in the fourth quarter of 2017. Gross profit was $603,000 in the fourth quarter of 2018 compared to a gross profit of $740,000 in the fourth quarter of 2017. We had a net loss of $631,000 or $0.31 per share in the fourth quarter of 2018 compared to a net loss of $669,000 or $0.33 per share in the fourth quarter of 2017. EBITDA was negative $43,000 in the fourth quarter of 2018 compared to negative EBITDA of $131,000 in the fourth quarter last year. During the fourth quarter of 2018, we had a positive cash flow from operating activities of $136,000 compared to $775,000 of cash used in operating activities in the fourth quarter last year. A few words about our rights offering, during March 2019, we issued to our existing shareholders subscription rights to purchase up to -- of approximately 3.4 million shares. Our shareholders purchase approximately 2,350,000 shares for an aggregate of $3.4 million. We appreciate that approximately 70% of our shares were subscribed in this offering. The $3.4 million proceeds from the offering are improving our working capital and will be used to reduce our line of credit, as well as for general corporate purposes, including the possible investment in plant and equipment. I would also like now to update you with our Nasdaq Continued Listing Status. Back on October, 2018, we received notification from NASDAQ advising us that we were not in compliance with the shareholders minimum equity of $2.5 million. On December 2018, we received an extension of time until March 31, 2019 to regain compliance with shareholders equity requirement. As a result of the receipt of approximately $2.5 million prior to March 31, 2019 from the recently completed rights offering, we regained compliance with Nasdaq Listing Rule and our shares continue to be listed on the NASDAQ Capital Market. NASDAQ has advised us that it will continue to monitor our ongoing compliance with the shareholders' equity requirement and, if at anytime in our next periodic report we do not evidence compliance, we may be subject to delisting. We are now ready to take your questions.
Operator: Thank you. Ladies and gentlemen, at this time we will begin the question-and-answer session. [Operator Instructions] The first question is from Marty Elbaum of Horizon Networks. Please go ahead.
Marty Elbaum: Good morning, gentlemen. Could you tell us what -- which quarter is the next quarter that we're turning the company around to profitability? Number one. And my second question is what are your plans for shareholder value for the company? Can you answer these two questions please?
Eli Yaffe: Yes, Marty. Good question. First of all, I cannot forecast, in which quarter we will be returned back to profitability, but I can answer you that some activities that we made in order to return the company to profitability. First of all, we started to make headcount reduction in the fourth quarter of 2018 and it's continuing the first quarter of 2019. And the increase -- and the decrease in the headcount is to reduce our internal cost, and following by increasing efficiency in order to keep the same volume. The second activity that we took is, we took objective, internal objective to improve the yield by 3% for the year 2018 and it started working and we see that the yield is improving. The third -- activity that we made is the price increase as we – as I explained before, that reflect all the passed -- and we pass all the cost to our customers. And we don’t have any losing part anymore, means that during the year 2018 we will not sell any part number or any board that we lose money on it. The fourth activity that we made is improving our cash flow by focusing on purchasing and have inventory management. I hope that I answered your question.
Marty Elbaum: What about for shareholder value?
Eli Yaffe: If all what we did will succeed then we'll return to profitability and then naturally the stock will go up, hopefully.
Marty Elbaum: Thank you very much.
Eli Yaffe: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I would like to remind the participants that a replay of this call will be available tomorrow on Eltek’s website www.nisteceltek.com. This concludes the Eltek Ltd. 2018 full year and fourth quarter financial results conference call. Thank you for your participation. You may go ahead and disconnect.